Operator: Ladies and gentlemen, thank you for standing by and welcome to Endeavour Mining's Q4 and Full-Year Results Conference Call. At this time, all participants are in a listen-only mode. After the management's presentation, there would be a question-and-answer session.  Today's conference call is being recorded and a transcript of the call will be available on Endeavour’s website tomorrow.  I would now like to hand the conference over to your management. Please go ahead. 
Martino De Ciccio:
Sébastien de Montessus: Thank you, Martino, and hello, everyone. It is great to be speaking with you all again. We are very excited to start 2021 because it marks a new phase in our journey. I and most of my team joined in early 2016, and we view the first phase spanning 2016/2019. During this period, we were highly focused on organic growth with the build in particular of Ity and Houndé and the real push on our exploration efforts. In addition, we were focused on divesting lower-quality assets. Last year, we were in cash harvest mode and sought to leverage the strong West African operating platform we built by consolidating SEMAFO and Teranga, both of which offered strong industry logic. We now have the portfolio we need to enter a new phase which, again, will be focused on organic growth. The main difference between this phase and the first one is that, previously, we funded ourselves through debt. We are now at a stage where we can self-fund our growth through cash flows while also rewarding shareholders in the form of dividends and buybacks. Another way to express this new phase, M&A is clearly off the table as we have now the geographical diversification and the right portfolio of assets required to continue to unlock value for the foreseeable future. I'm proud of how far we have come in a very short period of time, and I'd like to thank the whole team for their hard work and perseverance in getting us here. Turning to slide 7. We are now one of the world's largest gold producers. And, in fact, we are the largest gold producer in West Africa, which is the world's second largest gold-producing region. I'm confident that this will be a significant competitive advantage going forward. As you know, my motto has been since day one highly focused geographically in this highly prospective region and, at the same time, diversified over multiple assets and countries.
Joanna Pearson: Thanks, Séb. On this page, we start with the all-in margin, as I've noted earlier, and work our way down to the free cash flow and cash inflow for the period. Looking at the full-year numbers, we generated an all-in margin of $642 million which, in turn, resulted in a free cash flow of $476 million, which is a twelvefold increase over what was generated in 2019. Highlighting several of the more important line items which account for this increase, we note that we had significantly less growth CapEx which is due to the bill being finalized in early 2019. You also see that we had a working capital inflow. This is mainly due to increased trade and other payables due to the inclusion of Mana and Boungou for the second half of the year and a decrease in inventories due to the reduction of  at Karma and the decrease in inventories at Mana and Boungou in the second half of the year. The increase is partially offset by a decrease in noncash adjustments related to depreciation of the fair value adjustments on the PPA following the acquisition of this SEMAFO asset. Tax payments increased due to higher taxes at Agbaou which also had a withholding tax on dividends in the year and at Ity to do its production start-up, while lower taxes were paid at Houndé since last year was impacted by installment payments for forward-looking periods. The other operating cash flows include the realized loss on the gold collars and in inflows related to short-term forward sales.  During the year, we also had acquisition costs from the SEMAFO and Teranga acquisitions, and we received cash proceeds from a mining contract for previously capitalized plant expenditures at Karma. Cash flow generated from investing activities significantly increased for the year largely due to the significant cash that was acquired through the SEMAFO transaction as well as the proceeds from the sale of mining equipment.  Cash flows used in financing activities decreased significantly during the year due to repayments of debt that was acquired in the SEMAFO transaction as well as the repayment of the revolving credit facility which was drawn in the year. We also repaid the remaining outstanding financing obligations in Q4, reducing that value to nil at December 31. Overall, this has resulted in a cash in full of $525 million for the year.
Sébastien de Montessus: Thank you, Joanna. What I find interesting is that we get a free cash flow yield of circa 20% if you divide the $476 million of free cash flow by the average weighted shares outstanding for the year and today's share price. This broadly matches the consensus free cash flow yield for 2021.
Joanna Pearson: Yes, that's correct, Sébastien. Now looking at slide 27, we take a closer look at our cash position buildup based on the free cash flow statement line items. We achieved a net cash position of $75 million at the end of 2020, a net debt improvement of more than $600 million compared with our 2019 year-end. Cash from operating activities was nearly $750 million in 2020, an increase of $450 million from last year. We invested a total of $160 million into the company's operations and had a cash flow outflow of $71 million for financing activities. At year-end, we had a large cash position of $750 million, some of which was then used to refinancing the more expensive Teranga debt following the transaction close in the first quarter and to pay our first dividend. Martino, slide 28, please. You can see how our balance sheet improved progressively since mid-2019. We hit peak net debt of $660 million following the completion of the Ity build in Q2 2019. And in a short period of time since then, we have achieved a net cash position of $75 million. This, of course, does not yet include the balance sheet of Teranga. I'm pleased to see that we went from a leverage ratio of nearly 3 times net debt to EBITDA and are now in a very strong financial position. I'll now hand it back to Sébastien.
Sébastien de Montessus: Thank you, Joanna. The continued improvement in our financial position has allowed us to take further steps to enhance returns for shareholders, as shown on slide 29. We announced a sustainable dividend of approximately $0.37 per share. This was paid in February. Following the payment of this first dividend, we expect to declare future dividends on a semiannual basis with the goal of maintaining similar payments until we have reached our targeted net cash position of $250 million. I believe that it is important to build this strong balance sheet buffer to be able to continue to pay a dividend during cycles. Once we have reached this net cash position, which may be quickly based on current gold prices, and the cash flow we are generating, we would be well positioned to increase the dividend. In order to supplement our shareholder return program, we announced today that we also intend to implement a buyback program.  At current prices, we believe that such purchases will be value accretive to our shareholders on the EPS cash flow per share and NAV basis. Moreover, buybacks can represent an effective use of our capital and can deliver enhanced returns compared to other uses of capital on a risk adjusted basis especially at our current share price. Through the buyback program, we can purchase up to 5% of issued on outstanding shares on market over the next 12 months. To facilitate this, we've entered into an automatic share purchase program with a Canadian broker.  What I like about the business and portfolio we have built is that we can now generate enough cash to have shareholder returns while also being able to reinvest into the business, in projects and exploration. It's not one or the other.  I believe that we have one of the most attractive pipelines of projects which positioned us well to keep growing. The most attractive is the Sabodala-Massawa expansion which was commenced and we are currently working on Phase 1.  Looking ahead, you might have seen the PFS results for both Fetekro and Kalana, which were published two weeks ago. Both are showing plus 10 years of mine potential, attractive returns and low all-in sustaining cost. Fetekro, in particular, is showing potential for over 200,000 ounces per year while Kalana is showing 150,000 ounces per year potentially.  Beyond return on capital employed, we are focused on showing returns across the business and these are two good examples. We invested roughly %20 million in exploration at Fetekro and it is already showing NPVs of over $0.5 billion at the gold price of $1,500 while Kalana was bought for roughly $120 million and it is now showing an NPV of over $300 million. We believe that this is just the beginning. I would like to point out that the Fetekro PFS already looks a lot better than the Ity and Houndé DFS where we then continue to add ounces. At Fetekro, the study is based on only one deposit while we have identified over a dozen other nearby targets. Given the potential of both assets, we are now progressing on the DFS. The goal for this year is to focus on cash flow, build up the balance sheet, and return capital to shareholders. In the meantime, we are building optionality in the portfolio with these projects studied. Lastly, I want to point out the low CapEx intensity of our projects compared to the free cash flow that the group is generating. A new greenfield project has a CapEx of roughly $300 million, $350 million spread over 18 months. This represents just a few quarters of net free cash flow that the group is generating based on gold price, particularly current gold price. Looking now at exploration on page 31, you can see how our program has progressed since we laid out our five-year exploration target in the second half of 2016. We have consistently added to our resource inventory at the drill bit with another 2.2 million ounces added in 2020, excluding any acquired assets. And interesting as well to note that these ounces were found at less than $15 per ounce. Turning to slide 32. You can see how our pro forma reserves and resources have evolved during 2020, largely due to the acquisition of SEMAFO and Teranga. On the reserve side, we saw an organic addition at Houndé plus the inaugural reserve at Fetekro following completion of the PFS. Doing the same analysis on our resources, we can again see an increase in resources at Houndé and Fetekro while mine depletion explains the reduction at . With the acquired assets, we again approximately doubled our resource endowment from the start of last year. I'll now turn it to Patrick to work you through the exploration program in more detail, and then Mark to run you through the operations.
Patrick Bouisset: Thank you, Sébastien. Hello, everyone, on the call. As you can see on this slide, we are increasing again the overall exploration budget on $65 million in 2020 to $70 million to $90 million in 2021. This is really an important challenge involving all of my teams, and I take the opportunity to thank the  and support led by Henri de Joux for their strong commitment to help us in addressing it.  Over the last four years, we have been spending in average roughly between $12 million to $15 million per year on each Ity and Houndé. Now that we have reached our main objective of locking in at least 10 years of production at close to 250,000 ounces per year, we can reduce the spend to roughly $8 million on each of them and to reallocate some of this budget to the newly acquired mines with a goal indeed two or triplicating exactly our success there.  You've seen that the bottom part pie chart that the largest focus outside of greenfield which remained important will be on Sabodala-Massawa and Wahgnion when the rest of -- even these spread across other mines. We see overall significant exploration potential within our oil exploration portfolio, and we are really excited to publish and update five-year exploration strategy later on this year.  And now, Mark, over to you. 
Mark Morcombe: Thank you, Patrick, and hello to everyone. I trust that you're keeping safe and well and clocking up plenty of virtual Peloton miles. Starting on slide 35, our production bridge illustrates the performance for the full year for the pro forma 2020 business. Houndé, Ity and Karma all showed improvements in production year-on-year while Agbaou which we recently sold declined.  In addition, we added the Mana and Boungou assets in the second half of the year which were strong contributors to our business. We saw good all-in sustaining cost performance particularly from Houndé, which was aided by higher grade ore Kari Pump, and Boungou which reverted from processing of stockpiles to high grade open pit feed by the end of the year.  Moving to slide 36, I will start the review of our individual mining operations with Houndé. As you can see on the chart, production increased significantly in quarter four as we've benefited from higher grades driven by the oxide ore coming from Kari Pump where mining began in the second half of last year. Credit goes to the team on-site for establishing this pit and ramping up production so rapidly.  All-in sustaining cost decreased quarter-on-quarter mainly due to the significant reduction in the strip ratio, which more than offset higher unit costs and sustaining capital. Strong production and all-in sustaining cost for the quarter topped off a very strong year at Houndé. Looking ahead to 2021, we expect performance to be broadly similar. The first half of the year we will see all from the higher grade Kari Pump pit blended with all from Bouere and Vindaloo Centre. During this period, mining at Vindaloo Main will focus on mine stripping. In the second half of the year, we expect to commence mining at Kari West which will contribute to higher process growth.  Turning now to Ity on slide 37. You can see that production has increased between quarter three and quarter four driven by increased processing volumes and high grade contribution from stage 2 of the Bakatouo Pit. Increased mining and processing volumes and a higher amount of fresh rock mined and processed along with increased consumption resulted in higher mining and processing costs for the period. All-in sustaining costs for the quarter was adversely affected by one-off accounting adjustments from prior periods, resulting in an increase of approximately $195 per ounce. Other important activities at Ity which commenced in quarter four included the third rate of the TSF, compensation of  for the Le Plaque deposit, and construction of the road and the Cavally river diversion to enable the next cutback for the pit. Reviewing Ity’s 2020 performance, you can see that production benefited from a full year of operation from the Ity CIO plant compared to only three quarters in 2019. Looking ahead, we're expecting strong performance from Ity in 2021 with higher production guidance at slightly higher all-in sustaining costs than in 2020. Moving to Boungou in Burkina Faso on slide 38. Open pit mining was successfully restarted in October, resulting in a strong fourth quarter. We saw a significant production increase, thanks to the very hard grade ore available on restart which resulted in decreased all-in sustaining costs. Looking ahead to 2021, we expect production at Boungou at slightly higher all-in sustaining cost due to the strip ratio increasing significantly in the West Pit to around the life of mine average for the deposit. Production will continue to ramp up in early 2021 following the commissioning of two large excavators and additional production drills which will result in a high strip ratio in the first half of the year. The TSF rate is also planned and under construction. Moving on to slide 39 in Mana, quarter four production increased slightly due to the greater plant throughput which was offset by small declines in recovery rate and growth due to the completion of the higher grade 2 open pit and greater reliance on feed from the lower recovery Wona pit. In terms of all-in sustaining cost, we saw a decrease as a result of lower open pit mining unit costs and lower sustaining capital spend.  Looking at 2021, we expect a decrease in production for the full year following the completion of mining at Siou pit last year and Wona North stage 3 pit early this year which will be offset by lower grades from Wona South stage 2. Underground total ore extraction is likely to remain fairly constant throughout the year with the proportion coming from high grade stage increasing steadily and proportionate reduction in lower grade development ore as the year progresses.  Turning now to Karma on slide 40. Production in quarter four increased from the previous quarter following the end of the rainy season and increased stacking capability though grades and recovery rates remained flat. In terms of all-in sustaining cost, this increased due to higher royalties, mining unit costs, and inventory adjustments, partially offset by an increase in sales and lower processing and G&A unit costs. Full-year production from Karma remained flat as higher stack tonnage was offset by lower grades and gold recovery rate. All-in sustaining costs increased due to slightly higher mining unit costs following the changeover to contract mining and in critical remuneration costs on account of the recovery characteristics of the GG1 ore.  Looking ahead to 2021, we expect to focus mining activity at the Kao North and GG1 pits where the overall strip ratio is anticipated to increase slightly compared to last year. There will be ore available for the heap leach compared to the capacity of the stacking system  additional tracks will be mobilized in half one in order to increase overall ore production, which will improve slightly in the second half of the year.  Turning to slide 41 and the Sabodala-Massawa mine. I've been able to visit the site on three occasions now over the past six months and have been very impressed with both the caliber of the team and quality of the operation. Since the acquisition of Massawa, activity has rapidly moved in that direction with the construction of a 30 kilometer haul road and commencement of mining of the higher grade Sofia pit. Ore mine is expected to be higher than in 2020 due to the transition of mining from the Sabodala lease to the Sofia mine and North Pit on the Massawa mining permit.  Plant throughput and recovery rates are expected to decrease slightly due to an increased proportion of fresh ore from the Sofia pit. Mill feed will be comprised of approximately 30% oxide and 70% fresh material. The head grade is expected to increase in half two this year with higher grades mined at the Sofia pits. A TSF raise will be completed along with ongoing mining fleet replacement and rebuilds and continued establishment of infrastructure at Massawa. The processing plant upgrades will be outlined in the following two slides.  Moving to slide 42. We are now embarking on a first phase of upgrades to the processing plant, which will be focused on debottlenecking the backend to increase the capacity to process the higher grade free-milling Massawa ore. As part of this and going through each of the numbered points in order, we are planning to add another electrowinning cell to the larger carbon regeneration kiln to increase regeneration capacity, additional acid wash and elution columns to increase the total average capacity to 13 tonnes per day, an additional leach tank to increase the leaching and CIL resonance time to 32 hours, and a gravity circuit to reduce the load on the downstream CIL circuit. We’re also planning to convert one existing leach tank into a CIL tank to increase capacity. Procurement is largely complete with some packages already delivered to site. The civil engineering contractor has also mobilized and already commenced forming concrete.  Moving to slide 43, we provide some insights into Phase 2 during which we plan to add an additional processing circuit for the high grade refractory ore from the Massawa deposits. The DFS for the second phase is already underway with a focus on a number of optimization opportunities and we expect this will be completed in quarter four of this year.  Turning now to slide 44 and an update on Wahgnion. Similar to Sabodala, I've had three visits to Wahgnion which has ramped up production very quickly to well above nameplate. A number of the team were transferred from Sabodala bringing the group systems and work practices with them, thereby, enabling a very neat and organized operation to be established. We believe that the region is still largely underexposed with potential to further optimize the mining plan.  Ore road was established to the Fourkoura satellite pits in quarter four 2020 along with the commencement of the resettlement plan. This will enable contract mining to be in parallel with only mining from the Nogbele pit in 2021. For 2021, we expect the mine to produce between 100 -- sorry -- 140,000 ounces and 155,00 ounces for the period of Endeavour ownership as the plant throughput and gold recovery rates are expected to decrease slightly due to the greater volumes of fresh ore. Construction of the second fill for the TSF will also commence in 2021.  And I'll hand it back to Sebastian now. Thank you.
Sébastien de Montessus: Thank you, Mark. In conclusion, I'd like to acknowledge our strong performance over recent years during which we have consistently met or exceeded both the production and the all-in sustaining cost guidance. We are very pleased with both the portfolio we’ve built and our financial strength which now position us to enter a new phase in the Endeavour story, focused on shareholder returns. Moving to slide 47, we are very excited about 2021 as we have many upcoming catalysts. We are excited to show the Q1 metrics, inclusive of the Teranga assets for the first time, and I'd like, again, to welcome all of the Teranga team that has joined Endeavour.  In addition, we expect a steady stream of positive updates regarding our projects and exploration activities. On the corporate side, we will be hosting our Capital Markets Day in late Q2, ahead of our premium listing on the London Stock Exchange.  I believe that we have an appealing investment proposition with a strong cash flow and both near-term and long term growth, in addition to an attractive valuation, healthy balance sheet, and a strong shareholder return focus. I'd like to thank our shareholders, who have supported us during our evolution, and we look forward to rewarding them. With that, I'd like to thank you all for dialing in and open the line up to questions and congratulate, Joanna, our CFO, and the finance team, for closing her first Endeavour year-end results smoothly despite our two major acquisitions. Thank you very much.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session.  And what is your first question comes from the line of Ovais Habib from Scotia Bank. Please go ahead. Your line is open.
Ovais Habib: Thanks, operator. Congratulations, Sébastien and Endeavour team, for a good quarter and year. And thanks for taking my questions. Sébastien, my first question on -- is on the Teranga assets. Can you give us a little bit more color on how the integration is going with those assets, especially Sabodala-Massawa? And then I'll just ask more questions on -- maybe one to Burkina after that.
Sébastien de Montessus: Sure. Thank you, Ovais. Well, I must say that the integration is going extremely well and has been smooth. Thanks, I'd like to say it, I mean, to the strong support from the executive team of Teranga which has supported us, I mean, throughout between announcement to closing. I think that I said, you know, several times that we have a very similar culture in terms of operating model with Teranga and with a decentralized model where the GMs, you know, at mine sites have the right competencies the, right support to operate. And, therefore, we've been extremely happy with the two operations that we acquired. We currently have the two GMs which are, you know, in place and are happy with them and the team. So, I must say that it’s been a very smooth integration so far. Our team has been progressively on the project side, taking over the Sabodala-Massawa extension in particular on Phase 1 where we have a construction team which is -- a project team which is on site to start the Phase 1 expansion. And our team will be also taking over progressively on the studies for the DFS for the Phase 2. So, again, extremely pleased by the integration and also the quality of the people at both Wahgnion, Sabodala, and also in Dakar with  and the country manager and his team.
Ovais Habib: Okay. And any comments on, you know, how the community as well as the government is kind of, you know, accepted you into the countries especially Senegal?
Sébastien de Montessus: No, I think that, you know, we had -- you know, as you know, I go very often to West Africa, so I did come to Senegal the week before the closing. And I was able to meet in Dakar the Minister of Mine and the President of Senegal. And also, I do -- I did spend a lot of time with the local governor around the Sabodala-Massawa mine. And also the local chiefs, they were extremely, you know, supportive.  What was, I think, very important is to reassure them that, you know, Endeavour is not going to suddenly change, you know, the full framework that has been put in place because I have to say that the relationship on the ground has been extremely good between the Sabodala-Massawa team and the different stakeholders. So, you know, we’re not -- we’re there, I mean, to continue to, you know, to maintain these strong relationships.
Ovais Habib: All right. Thanks for that. And just my next question is on, you know, just moving to Burkina Faso. In terms of Boungou, any updates you can provide in terms of the government participation on the security side on the road to Boungou? 
Sébastien de Montessus: Well, as you know, we try not to, you know, describe too openly, I mean, the security protocols that we have in place. But, if you recall, you know, I really said that\, in order to be able to restart mining at Boungou, we have several key criteria which, obviously, are now in place. Otherwise, I wouldn't have authorized the restart of the mining at Boungou. The first one was a framework agreement with the Government, ensuring that we would have the right support from the Army, Police, and  in securing some logistic corridors and also security around the mine site. The second one was to ensure that we would have an airstrip up and running so that we were able to fly in and out 100% of our staff from the country to site, which is the case today. 100% of our staff are flying in and out.  And the third one was to be able to bring a credible mining contractor, which we did with SFTP, which took over, you know, in the beginning of Q4. And so, again, you know, happy the way, you know, things have been progressing at Boungou and you saw the, you know, the strong results that we got from Boungou in Q4 that impacted, you know, very positively our year-end results.
Ovais Habib: Perfect. Thanks for that, Sébastien. And then, just moving on to your organic pipeline, clearly, it feels like Endeavour's next development project as it already kind of fits in your magic box. A feasibly study is expected by the end of the year, but is there anything that you guys are waiting to see over the next nine months that's, you know, going to be on in terms of exploration upside or any kind of, you know, support of the project? Any color that you can provide on permitting there as well.
Sébastien de Montessus: No. Exactly, I think that, clearly, on the steady side, the objective is to come up with a DFS by year-end. Patrick’s team on the exploration side have been doing, you know, further drilling campaign since, you know, end of Q4 and since the beginning of the year. So, we hope that we'll be able to integrate some of the results that we would be expecting in June into the DFS, which would allow to continue to improve the quality of the projects from PFS to DFS. So, that would be the expectations. And on the permitting side, you know, I'm currently in Ivory Coast, in Cote d'Ivoire, and the objective is to -- we’re expecting, I mean, to be granted the mining permit for Fetekro over the next few weeks. So, this will be a big milestone step as this should happen over the next few weeks. So, extremely happy how things are progressing there. As you said, I think that, you know, Fetekro is starting to be what I would call an Endeavour-type project, which means over 200,000 ounce annual production for, you know, 10 years plus and with low all-in sustaining cost that should be getting us, you know, with stronger IRRs in terms of returns. So, yeah, very happy with the way this has been developed. I mentioned in my presentation, you know, we spend so far $20 million on this project and we have above, you know, $0.5 billion of NPV on this project at 1,500. So, this is, you know, demonstrating, you know, how robust our exploration team, you know, can be in discovering, you know, strong assets.
Ovais Habib: Perfect, Sébastien. That's it for me and congrats again on a good quarter and a great year.
Sébastien de Montessus: Thank you very much, Ovais.
Operator: And our next question comes from the line of Don DeMarco from National Bank Finance. Please go ahead. Your line is open. 
Don DeMarco: Hi. Thank you, operator, and congratulations to the team. I guess my first question is you have this Afema initial resource pending. And I remember that the Teranga geologists were really excited about Afema. And I'm also looking at your budget for expiration in 2020. We got 30% allocated for greenfield projects. Can you share what we can expect for the main resource and whether it's going to be a focused target for your greenfield exploration program in 2021?
Sébastien de Montessus: Sure. Thank you, Don. Maybe Patrick, I mean, is on the line, so he can give a bit of color on Afema. As we pointed out, I mean, the objective is to have some initial resources, you know, to come out in the coming few weeks based on the latest drilling campaign. As you said, it's something that the Teranga team has been very excited about. You know, we tend to be, I would say, you know, cautious simply because we want to see more, you know, drilling results in order to be able to assess, you know, the size of this target. But it is extremely encouraging. And we'll obviously spend some money in 2021 on continuing to drill at Afema. Patrick, you want to comment further on Afema? 
Patrick Bouisset: Yes. Well, actually, the exploration program on Afema has been going on quite strongly in -- since actually December. So right now, we are expect -- we are receiving a lot of data and so on. So we'll take some time to analyze all this and so on.  I don't know exactly how much we'll be spending on Afema this year albeit probably we'd be spending around $8 million or a little bit maybe, a little bit, you know, as part of the resource the resource will come whether or not they will come because we need to do some probably some additional in-field reading or reconnaissance and so on.  But for us, Afema is one attractive project like another one. We see a lot of things to do and we are doing it on Fetekro. We have been starting again, working on another greenfield cluster of license that we consolidated in the past  And we also going to start drilling in  where we have five exploration licenses. So you'll see, yes, we have a significant effort of greenfield this year. Afema is one of them. And we target hopefully to probably share the first, the internal resource on Afema on time within the second part of the semester. I cannot give you exactly the time right now, but for sure it's one of the subjects up we'd address this year.
Don DeMarco: Okay. Thanks. Appreciate that, Patrick and Sébastien. Looking at the year-end reserve statement. I see that at Sabodala the reserves were basically kind of flat year-over-year, which implies that despite depletion of over 250,000 ounces you managed to kind of maintain the level of reserves. So, what drove this? Was it expiration success or was the cutoff grade changed? Maybe you could comment on some of the -- your expectations for exploration at Sabodala in the year ahead.
Sébastien de Montessus: So maybe, Mark, I mean, do you want to comment on the reserves and then Patrick give a few ideas on the exploration side?
Mark Morcombe: When it comes to the reserves at Sabodala, we are still doing a lot more drilling there. So, you know, just a slight reduction and we do expect that we’ll be able to sort of offset a lot of that through the drilling programs that we've got coming this year. 
Sébastien de Montessus: Patrick, on the exploration?
Patrick Bouisset: Yes. Again, on the exploration, what I can say that between Sabodala and Massawa, for us, we are not going to spend a lot of money in exploration on Sabodala asset itself because it has been as a subject of quite a lot of exploration in the past. On the contrary, we do believe that there is still a significant upside on Massawa, and that's where we are going probably to spend the big majority of the $13 million that we plan to spend on Massawa-Sabodala area.  With different type of targets, the main one for us and for me which is very important is to try to address as many good quality oxide target to try to fuel a little bit, I would say, the facility expansion on that Phase 1. And also to give some  to the time of decision making, whether or not to -- how we want to proceed in the . So, this is going to be the first year very important, and that's why we want to be very aggressive on Massawa itself.
Don DeMarco: Okay. Great. And maybe just…
Sébastien de Montessus: Maybe one point -- one point, one point on to your specific questions. I’m not seeing, I would say, the reserve going down despite the depletion. Technically, we've redone the Sabodala-Massawa reserve at a $1,300 per ounce gold price, while Teranga used to have done it a $1,200 per ounce gold price, and this is to have all our operating assets done at the same level. So, you know, a part of the…
Don DeMarco: Okay. 
Sébastien de Montessus: …this flat to a slight increase is due to this $1,200 per ounce, $1,300 per ounce gold price to be aligned with all of the other operating assets we have. 
Don DeMarco: Okay. Great. And thank you for that. And maybe my final question then is, well, M&A has been a common theme throughout 2020, even prior to that with the  sentiment. But your messaging recently has been more about you're done with M&A. Is that the case or -- and is it are you done with M&A just through the LSE listing or inclusion into the index processor or what is your sort of your thoughts on M&A over the year ahead or beyond? 
Sébastien de Montessus: Sure. I think that, you know, as we said, M&A for me is a tool, you know, to get to the right portfolio. And we felt that, in 2020, we had these -- those opportunities with the Semafo acquisition and the Teranga acquisition to rebalance nicely our portfolio for the future.  And we have now, you know, the size, a 1.5 million ounce yearly production. More importantly, for me, we have this, you know, strong focus, geographical focus in West Africa. But, at the same time, we are now well-diversified over several countries and several assets.  So, I do feel that we have now in hand all the right assets in our portfolio. And given the success that we've gone through in terms of exploration and the quality of the organic growth pipeline that we have, I don't see the use in the future for M&A.  So, this is why I've been insisting, you know, there are some windows where M&A can be an attractive tool to get to the right portfolio, but I do think that we have now the right portfolio and the future for Endeavour will be on the organic growth in West Africa.
Don DeMarco: Okay. Great. Thank you for that. That's all for me, gentlemen.
Sébastien de Montessus: Thank you, Don.
Operator: Your next question comes from the line of Anita Soni from CIBC World Markets. Please go ahead. Your line is open.
Anita Soni: Good morning. This question, I'm not sure if Sébastien can answer or maybe Joanna or Mark, I'm not sure. But I just want to go through the purchase price allocation calculation that's in the integrated MD&A and financial statement. So, this is with respect to SEMAFO. I see the mining interest went down by approximately a little over 10%. You have outlined your key assumptions that you haven't shown what they were previously on the preliminary number. Can you just tell me what key change drove that 10% reduction? I guess I‘m drilling in at the depletion expenses lower than I'm looking for substantially. And there were some restatements for Q3 and Q4. And then the second part of that question would be, could we expect something similar once the Teranga acquisition closes? So, not necessarily on the first set of financials, but when would we expect to see the final purchase price allocation for that.
Sébastien de Montessus: Sure. Joanna, you want to take this one?
Joanna Pearson: Yeah. Anita, happy to take this offline and we can provide more details. But just on an overall basis, the purchase price adjustments from Q4 relative to Q3 just reflect revisions to the mine plans that were undertaken in the fourth quarter based on better understanding the operations subsequent to the acquisition. On a mine-by-mine basis, overall, the valuations are relatively consistent with the preliminary valuation at Q3. There's not really any substantial differences. However, we did just reclassify that amount, the valuation difference to goodwill in Q4 rather than reflecting it in the mining interest, which we’ve done previously. And I’m happy to discuss that with you more offline to provide a little bit more detail. 
Anita Soni: Okay. That’s -- all right. So I guess I’m just trying to figure out why you had to move something from the mining interest to the goodwill and which one -- I can see these assumptions, and I see, obviously, you've done the mine plan again. I'm just trying to understand which one of the parameter is different from the original. So -- yeah. 
Sébastien de Montessus: Yeah. And we can take it offline, but essentially it's just the recognition of the difference from the deferred tax calculation, which is an accounting rule, which we reflected in goodwill rather than the mining interests. But there's no real impact on the overall valuation of the mine assets themselves. So -- but I'm happy to chat with you offline to provide some more detail. 
Anita Soni: There are different -- I can see that there's deferred tax of $24 million, but I'm trying to drive at least $150 million. So, yes, let's take it offline. 
Sébastien de Montessus: Okay. 
Anita Soni: And the part of the question second part was similarly on the Teranga transaction. Would that be with the audited financials or will the Q1 financial statements when this is all -- like, when you guys put out the Q1 financials and this is closed, will that reflect the true purchase price allocation, or should we have to wait to the next set of audited financials next year?
Sébastien de Montessus: We'll be looking at the SEMAFO purchase price allocation again in Q1 to reflect any changes in the Q1 statements. And then for the Teranga acquisition, we will have a preliminary purchase price allocation in the Q1 financial statements. And we’ll then -- we have 12 months then to finalize that after the acquisition. So we'll then work on that after that. But we will have a preliminary allocation in the Q1 statements in May. 
Anita Soni: Okay. Thank you. 
Operator: And our next question comes from the line of Carey MacRury from Canaccord Genuity. Please go ahead. Your line is open.
Carey MacRury: Hey. Good morning, everyone. Just a question on the Sabodala-Massawa Phase 2 Study, are there any significant changes that you're expecting their relative to what Teranga had laid out in terms of the configuration? And, secondly, you know, where do you see -- where would you see potential upside opportunities at Sabodala-Massawa?
Sébastien de Montessus: Sure. Mark, I mean, you want to participate?
Mark Morcombe: Yeah. So, there was a number of, you know, trade-off studies that Teranga had initiated, that we are just going through the process of concluding, and there's certainly no surprises so far. And, if anything, some of the trade-off studies were more just to confirm in case, you know, there was a thought that, perhaps, something wasn't being considered. So, so far, everything's on track and quite well in terms of what Teranga had thought and in, certainly, what we're seeing.
Sébastien de Montessus: In the flowsheet, I think we are still looking at adding a gravity circuit, which should help increasing a bit the recovery. 
Carey MacRury: Okay. 
Sébastien de Montessus: But beyond that, so far, I mean, no, no big changes.
Mark Morcombe: And the other piece we have, there is more oxide. And, you know, the -- obviously, the exploration efforts for this year is very, very important just to give us that flexibility as well.
Sébastien de Montessus: Yeah. Just to properly size the BIOX plant. 
Carey MacRury: Okay. Great. And then, maybe back on the project pipeline, you know, again, it looks that it grows at the front of the line here. But, looking at the other projects that you picked up from SEMAFO and, you know, obviously, Afema and Golden Hill, you know, from Teranga, you know, which one of these would you say are more advanced? And, are there any time lines on, you know, are some of these at more of the front of the line than some of the other ones that potentially could come ahead of Kalana? 
Sébastien de Montessus: Well, I think that, you know, we -- we're blessed with the size of that pipeline. So, you know, we’ll go through the studies, you know, step by step. Obviously, you know, we’re not going to build full projects in parallel. And, you know, 2022, we’ll probably be focused on the Phase 2 of Sabodala-Massawa and probably Fetekro, although we’ll wait for the final results of both DFS between Kalana and Fetekro.  And in parallel, we are preparing the next projects. We’ll have a go at looking at the potential integration of Golden Hill into Houndé. So, there will be a bit of drilling and  test later to assess this. I think Bantou is progressing well in terms of, you know, obviously size. We've got, you know, close to 2.3 million ounces of inferred resources there. So, we'll continue to, you know, to work on those subjects. And I think that as we mentioned earlier in the quarter, Afema is also, you know, an important one. Yeah. So, you know, we're progressing step by step, you know, each of the, you know, key potential future projects that we have in the pipeline.
Carey MacRury: Great. Thank you very much. 
Operator: Your next question comes from the line of Lawson Winder from Bank of Securities. Please go ahead. Your line is open.
Lawson Winder: Thank you, operator, and hello, Sébastien, and team. Could I -- I’d like to start with a question on your growth outlook. And maybe I'm sort of jumping ahead of your Capital Markets Day here. But if you look out five years and think about your production, do you see your objective as maintaining 1.5 million ounces a year or do you see your objective as growing that production level?
Sébastien de Montessus: It's a fair question and I think that, you know, we’ll respond to part of that during our Capital Day. I'm not driven by, you know, production size. And this is why, you know, we've been, you know, continuing to, on a regular basis, divest what I would call noncore assets. And, you know, if we wanted to be a 2 million ounce, you know, gold producer, we will be by keeping, you know, the assets that we had already in the pipeline in the existing portfolio. But, for me, it's about maintaining consistency around the quality of those assets with mine life and with low all-in sustaining cost. We clearly have the potential in the portfolio to continue to grow production going forward. So, we're starting with a strong base with this 1.4 million, 1.5 million ounce. And, obviously, given the strength of the pipeline, we have the ability to -- you know, to continue to grow beyond.
Lawson Winder: Great. And just touching on something you mentioned there about adjusting the portfolio. You mentioned that Karma is now noncore. Just curious has the sale process started and can you provide any commentary on how that has perhaps gone .
Sébastien de Montessus: The good thing in, you know, most of the assets that we've divested in the past is that we didn’t necessarily have to go through a dedicated process because we were, in fact, approached by -- each time by several candidate buyers. So, I think that we've made enough clear to the market that Karma was noncore. We've been approached already by, you know, several potential buyers. You know, we are reviewing, you know, the different options. And we know that if we are able to meet the criteria that we want, we'll proceed. If not, you know, we're happy, I mean, to continue to enjoy the cash flow from Karma.
Lawson Winder: Yeah. That makes sense. And then just also on Karma, I mean, I imagine that the stream on Karma is partly what plays into the lower return. Have there been any discussions around how that stream looks going forward or perhaps the need to adjust it for any buyer to get comfortable with a price that you guys are happy with?
Sébastien de Montessus: So, the Karma stream is, in fact, decreasing significantly in March this year. So, we -- you know, at the end of the big cost because we’ll not go below 5%. So, it's pretty -- it’s becoming, I would say, attractive, you know, for a buyer, I mean, to step in now. I think the returns, as you pointed out, is partly the stream, but it also, if you recall, I mean, significant CapEx that we had to put on the plant, you know, to get the plant right from the initial True Gold design. So, overall, this had an impact on the capital allocated to Karma.
Lawson Winder: Yeah. Good point and well taken. And then maybe just on the capital return, I think the buyback makes a lot of sense and, you know, certainly agree to your comments that on a risk-adjusted basis, it's a very competitive return. I guess my question would be, you know, why not maximize the buyback. I think with the TSX, you can go up to 10% on an annualized basis.
Sébastien de Montessus: It's interesting to see that when you start, I mean, to generate good cash flow and have a good balance sheet that, you know, you suddenly have requests for very high dividend yield and/or and sometime and very high buybacks. So, I think we're just trying to be realistic on, you know, what we can do. You know, this is a 12-month program which means that, you know, we can renew those programs, you know, going forward. And we can always request an increase in that program, you know, next year.  But we need also to be realistic to ensure that we can properly allocate the cash flow that we will be generating both to exploration, our future projects, and maintain this a healthy dividend yield that, you know, we've set up. And at the same time being opportunistic on the buyback depending on where share price is. And, clearly, you know, there is the sense that now is a good time for, you know, for a buyback given where our share price stand.
Lawson Winder: And it would be -- would it be fair for myself and other investors or investors rather to assume that at a 5% level that buyback is likely to be fully used over the next 12 months?
Sébastien de Montessus: I think it's difficult to comment because it will depend on how, you know, the share price, gold price, you know, will evolve over the next nine months. But, you know, the reason why we said 5% is because we believe that it's realistic. You know, we've seen in Canada looking at all the precedents there's been I think a lot of companies announcing buyback at 5% percent or 10 percent, and in reality executing only 20% of their envelope.  So, I think that, you know, we wanted to be realistic and make sure that, you know, market expectations, you know, are around, you know, commitments that we do and that we make rather than, you know, putting high numbers and getting people disappointed because we know they're executing along those lines. So, I think 5% is a good start, is realistic. And, you know, clearly now is a good opportunity in terms of timing. And we’ll see, you know, how it works, you know, after the listing. We would be expecting, you know, strong demand as part of the listing going forward. So, you know, we’ll see how the second half of the year will work, you know, for further buybacks.
Lawson Winder: Yeah, that makes a lot of sense. And now just continuing on capital returns, with the dividend, the release mentioned that the La Mancha transaction will close in Q1. So, you know, mathematically, you will have obtained and exceeded your $250 million net cash position once that closes. So, with that just on the horizon, I imagine you've thought quite a bit about future dividend levels. Can you provide us any guidance in terms of what gold price you may be using in terms of thinking about setting a dividend, first of all? And then, as a follow-up to that, when you think about a future dividend and a potentially higher dividend, do you think about setting a dividend at a level that can be maintained over the long term, or could we expect some variability in the dividend?
Sébastien de Montessus: Sure. So, I think there are a few elements in your comment. First, the -- we're expecting to receive the $200 million investment from La Mancha as part of the closing of the Teranga transaction. But recall also that, you know, we're taking over with more than 370, I think, million dollars of debt from Teranga. So, this has an impact, I mean, compared to the year-end results balance sheet which is, you know, impacting it. But given the strong cash flow that we are expecting, and depending on gold price, you know, we aim to get, you know, quickly to this $250 million net cash position.  As part of the listing, what we said is that -- and this will be highlighted in our Capital Day, we are looking at capital allocation strategy that we are discussing, you know, with the board. And I think that this capital allocation strategy will give, you know, better visibility on how we intend going forward to allocate the company's cash flow between organic growth and instruments for returning value to shareholders, including, you know, potential more directed, I would say, policies around, you know, free cash flow, which is distributed -- percentage of free cash flow distributed to shareholders and so on.  Gold price is obviously, you know, a big driver into that. But, you know, the good thing with the quality of the portfolio that we have is that, you know, whether it's, you know, $1,400, $1,500, or above, you know, we're still generating pretty strong cash flow. That gives us confidence -- and this is why we came out, you know, at the end of Q3 with the dividend policy gives us confidence that, you know, whatever the gold cycle, we should be able to maintain a healthy return policy to shareholders and at the same time be able to finance our organic growth. 
Lawson Winder: And you'd expect that return policy to be like a stable dividend. So one set, it would likely remain at that level or higher going forward. 
Sébastien de Montessus: Yeah. Exactly. I mean, what we said is we want to keep a minimum of 1.6% yield. That was based on the share price when we issued the first dividend payment. I think it's equivalent to about 1.8% dividend yield today at current share price. So, the intention is to have a minimum, you know, going forward, a dividend yield which is minimum equivalent to this one and growing progressively as we pile up cash on the balance sheet.
Lawson Winder: Great. And maybe just one more for me on the pipeline. And thank you for that chart on all the projects, the greenfield through to the existing assets. It's very helpful to visualize what you have in the pipeline which, of course, is very robust. Nabanga is one that jumps out for me just because it's -- as it exists today, it is rather small and its size hasn't grown much in several years now. I'm just curious if you still look at that asset as core and what do you see as potential exploration upside there.
Sébastien de Montessus: Sure. I think the reality around Nabanga is that, you know, SEMAFO hasn’t done any work around Nabanga for the last, you know, 18 months. From a security standpoint, Nabanga is not the easiest part of Burkina, so this is why it hasn't been, you know, a priority, a priority with Boungou. But, you know, we hope to be able to, you know, include Nabanga in our exploration program probably in the second half of the year or in 2022. And as you said, I mean, it's starting with, you know, pretty attractive numbers because you've got 800,000 ounce at, you know, 7 grams per tonne plus. So, it's -- you know, it's an interesting starting point, I mean, to look at an asset. So, you know, Patrick and his team needs now to be able to, you know, complete another set of drilling program to see the potential of this asset.
Lawson Winder: No, I can't disagree. They're all certainly very exciting grades. Okay. That's it for me. Thank you so much for taking the questions, Sébastien, and I look forward to our next discussion.
Operator: Your next question comes from the line of . Please go ahead. Your line is open. 
UnidentifiedAnalyst: Good afternoon, Sébastien, and the rest of the team. First of all, let me congratulate you on a fantastic year for your shareholders. Delighted with what you've achieved. I do have a number of questions, if I may. So, first of all, in 2016, you published a five-year exploration plan, which is coming to completion this year. Will you be publishing another similar plan? And, if so, roughly when? 
Sébastien de Montessus: Yeah. That's a good, a good question for Patrick. There's been a bit on the grilled on this. You know, we said that, obviously, with all the changes in the portfolio and, as we are getting, you know, into the last year of our first exploration strategic plan, it would be, you know, nice, I mean, to have this second exploration strategic plan that will include the new assets from SEMAFO and Teranga.  So, I would expect that, you know, to be probably as a part of our, you know, Q3. So, probably, in September or October, we will have, you know, a way to present probably the conclusion of our first exploration strategic plan and, you know, this will give time, you know, between now and September and October for Patrick’s team to, you know, assess all of the different, you know, opportunities in both the SEMAFO and the Teranga portfolio. Patrick, is there more that you want to say on this? 
Patrick Bouisset: No. No, thank you, Sébastien. No, basically, we consider more or less now that we have completed a little bit ahead of schedule of what we wanted to do, what the  was basically back in 2016 the exploration portfolio of  On this portfolio, we have been delivering almost 8.5 million ounces, so we are very close to the target and the remaining year should be okay. Right now, I'm working with my team, you know, into integrating all the site potential we were seeing on the SEMAFO side, and the main activity right now is dedicated to incorporating Teranga asset.  So when you look at that, you know, as Sébastien said that we planned to publish or to speak, you know, either  first semester or  strategic exploration plan that will be built with more or less the same approach than the one I used four years ago when I built the former explosion strategic plan.
Sébastien de Montessus: Very good. There's certainly a plethora of targets to prioritize now. Next question relates to the recently published feasibility studies for Fetekro and Kalana. Looking at those Fetekro looks pretty much ready to go subject to the DFS. Kalana, on the other hand, I noticed that production would drop off after the first few years. Would you anticipate needing to do more exploration, prove up more resources at Kalana before potentially moving ahead with that project?
Patrick Bouisset: Exactly. Mark, that's the objective. I mean, we always -- you know, we're interested by, you know, Kalana, in particular, because of the prospectivity of Kalana. There is a pretty large land package and particularly on all the south part which hasn’t been drilled yet. Obviously, that  have been quite busy in focusing over the last few years, I would say, in expanding mine life at existing core assets.  Now that Fetekro seems to be, you know, on track to become, I would say, a time project, this will probably give more focus, you know, down the road for, you know, a bit more at Kalana exploration drilling campaign. In particular, you know, once we will have a sense that, you know, Fetekro will go first because we're not going to launch, you know, three construction, you know, in parallel, that means that, you know, we'll have a bit more time on Kalana to start increasing the resources there and, hopefully, get it, you know, closer to what I would call an Endeavour-type project with above 200,000 ounce annual production. So, clearly, the intention is, you know, to be able to progressively increase some exploration there.
UnidentifiedAnalyst: Good. Thank you. Next question relates to financing. Now we're in a net cash position. The convertible bond was a very good instrument for the company when it was issued, but it seems to me that maybe it's now outlived its usefulness. Can it be redeemed early? And if so, is that something that the board is thinking about doing?
Sébastien de Montessus: We said when we came up with this convertible bond that this was a way to, you know, finance our construction phase and that on the back of the cash flow expected from the assets once building commissioned, we would be in a position to analyze, you know, a tradeoff and, in particular, having the flexibility to buy back the bonds. So, we have the capacity in our convert to buy back the bond and to basically redeem in cash shares or cash and share. We objectively -- I must say that, you know, we looked -- as part of the buyback, you know, that we announced today, we looked also at alternatives in buying back some of the converts. Clearly, in terms of returns, buying back shares had, you know, much bigger returns. So, this is why we came out this morning with the share buyback approach. But we still have the flexibility going forward to call the bond when we want. So, I think this is we -- this is something that we’re monitoring and this is part of our, you know, capital allocation strategy. You know, as a shareholder myself, you know, if I can avoid, you know, the dilution of the converts, you know, grade in particular as we continue to grow, you know, the strength of our balance sheet. So, I fully agree with you and that's on the radar for us, you know, to monitor over the coming months.
UnidentifiedAnalyst: Good. Thank you. I mean, a couple of concerns I have about the bond at the moment are, firstly, that the conversion option that's embedded in it tends to distort earnings as the share price moves a little bit and also that some of the bond holders seem to be operating delta hedging strategies which could affect the share price. So, it would be nice in my eyes to get rid of it, to remove those distorting factors that, as you say, if you estimate that buying shares back is more shareholder value additive, then so be it. Thank you. And then penultimate question, with the Phase 1 expansion of Sabodala-Massawa, we’re adding 900,000 -- sorry, 90,000 ounces of production, would that mean that from 2022 onwards we would expect production from that asset in the region of 400,000 ounces? Is that correct? 
Sébastien de Montessus: So the expansion of -- I mean, the Phase 1, which is debottlenecking the back end of the CIL allows to basically increase on a quarterly basis from 75,000 ounces to 90,000 ounces in terms of production. So we'll see obviously the full impact of this growth in 2022 given that, you know, we're expecting to have this Phase 1 commission, you know, across Q3 with a full impact in Q4. And, therefore, you know, Q4 will be a good proxy for what to expect for 2022. If we look at, you know, 90,000 ounce, you know, per quarter, that would leave Sabodala-Massawa, you know, probably around 360,000 ounce to 370,000 ounce for 2022. 
UnidentifiedAnalyst: Thank you. And then my final question is on an ESG matter, which is most of the operations are open pit, which is rather an ugly mining method. What are your thoughts and rough plans on rehabilitation of the open pits when mined out? 
Sébastien de Montessus: Do you want to comment?
Mark Morcombe: Well, generally, I mean, one of the things that, you know, it can be an interesting question whereby it does make sense if you came to a backfill pit, whereas there is also a reluctance and, in particular, sometimes from the Government to backfill pits on the basis that you could be sterilizing a future resource.  So, we make sure, if we are going to do backfill strategy, that we really have done the work at, you know, like a $2,000 per ounce gold price. So, we do have examples. At Agbaou, we’ve backfilled pits and, even at Wahgnion, some of the tiny little pits were -- are backfilled. So, if it makes sense, we will always look at backfilling pits because that is the neatest way to sort of put back what you’ve done.  But, obviously, doing that, you would never do it as a deliberate strategy because you’re re-handling the entire or the waste twice. It is a tricky one. We generally do rehabilitate waste dumps. We generally put bunds around our pits and allow our pits to fill up with water as they do become good water sources for those areas.  And, one thing that I've done in Western Australia, which we haven't necessarily looked at yet here, is being able to put tailings into pits, but that really looks at or it depends on the water tables and many other things. So, anything that you can utilize to sort of fill back up that volume and not disturb more land mass is, obviously, something that we do look at and we can probably look at a few further options as the time progresses.
UnidentifiedAnalyst: Very good. Thank you very much for all those answers. That's very useful. 
Operator: That will conclude today’s Q&A session. I would now like to turn the call back to Martino De Ciccio for any additional or closing remarks. 
Martino De Ciccio: As there are no more questions, we’ll now finish the call. I will, of course, remain available to address any additional questions offline. Have a good day and stay safe.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.